Operator: Good morning, ladies and gentlemen. Welcome to BCE's Q4 2014 Results and 2015 Guidance Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Paul, and good morning to everyone on the call and webcast. We me here today as usual are BCE’s President and CEO, George Cope; as well as our CFO, Siim Vanaselja. We released our fourth quarter results and 2015 financial guidance earlier this morning. As usual, the information including the news release and the slide presentation for this call are available on the BCE Web site. However, before we get started, I’d like to draw your attention to our Safe Harbor statement on Slide 2 of the deck. Information in this presentation and remarks made today by the speakers will contain statements about future events and financial results that are forward-looking and subject to risks and uncertainties. Actual results may differ materially. These forward-looking statements represent our expectations as of today, and accordingly are subject to change, except as may be required by Canadian Securities Laws, we do not undertake any obligation to update or revise any forward-looking statement. For additional information, you may consult BCE's Safe Harbor notice concerning forward-looking statements dated February 5, 2015 filed with the Canadian Securities Commission and with the SEC and which is also available on our corporate Web site. So with that out of the way, I’ll turn the call over to George.
George Cope: Great. Thanks. Good morning, everyone. Thank you for taking the time to join us this morning. Let’s go forward with the slides here. First of all, clearly we had a very encouraging end to the year and I think a particular note was the organic revenue growth of 2.6% across Bell. We produced exceptional wireless financial results driven by 9.6% higher revenues yielding EBITDA growth above 10% while producing postpaid net adds above the Street’s expectations. The company also achieved positive wireline revenue and EBITDA growth along with positive total residential net adds for the first time since cable telephony launched in 2015. The strong wireline results were driven by 128,000 combined BCE IPTV and broadband Internet net adds, up 31% year-over-year. The new video on-demand streaming service CraveTV launched December 11 on an authenticated basis only with BDU distributions across the country from carriers such as TELUS and Eastlink. Subscriber numbers although early are ahead of internal expectations. The announcement of acquisition is expected to close in the spring of this year. We met all financial guidance targets for 2014 and I’m particularly pleased that we were at the high end of our free cash flow guidance for the year. Taking a closer look at our wireless results, clearly, we took share in the quarter and while doing that, we’re able to drive an industry-leading ARPU growth of 5.5%. The pricing discipline we’ve executed in the market over the last eight years is clearly paying benefits for our shareholders and at the same time as our customers migrate to LTE, we’re seeing increasing usage and that is one of the main reasons for the improvement in our overall ARPU. The higher cost of acquisition in the quarter reflects the continued migration of customers to high-end smartphones and the usual competitive intensity of the fourth quarter. We did have the headroom to increase retention spending to 13.5%, which helps us going forward into 2015 as we enter the double cohort year where we have the overlapping of three and two-year contracts. Overall, 47% of our base is now on LTE. The encouraging thing for all of our investors is 53% are not. That migration will of course continue and what we see as clients migrate to LTE because of this incredible technology and the speed for video services it provides. We see improvement in ARPU because of more usage and we see a much sticker customer in terms of churn. Turning to the wireline side, BCE’s overall wireline residential RGU growth accelerated significantly in the fourth quarter. On a year-over-year basis, an improvement as I mentioned of 30% of IPTV and Internet adds combined up to 128,000 versus 98,000 a year ago. I think a particular strategic importance for us was the over 100% increase in our Internet net adds, 52,000 BCE Internet net adds, up 29,000 year-over-year while maintaining stable IPTV adds of 76,000 across the BCE platforms. We have now broken through the 15% penetration level of IPTV and of course we’ll expect that penetration level to continue to improve going forward. Clearly, our satellite business is being impacted by the IPTV competitive environment. We continue to see about 15% of our customers that we get IPTV migrations off of our own satellite. To me, one of the real interesting numbers for us in the quarter is a dramatic reduction in our NAS losses on the consumer side, 33,000 unit improvement. We continue to see that slowing. In fact in some days during the quarter, we actually had positive ports back against our competitors, and we’ve never of course seen that. Importantly is that 80% of our customers taking Fibe TV are taking three products not just the Internet and Fibe TV. Another noteworthy part of the quarter for us was the first non-back-to-school quarter or the third quarter, if you will, that we’ve had positive RGU growth since 2005. We also plan to continue to maintain our lead with IPTV, our most recent innovation of launching a new restart feature for our customers we think is breakthrough technology allowing customers if they missed the first 10 or 15 minutes of a show or you’re 10 minutes late to get to see the CTV National, you can just quickly go back if you hadn’t PVR’d it to the beginning of that show. It’s the only one we know in the country with this service and particularly in our competitive marketplace. Overall, for the year, although not positive on the RGU side, very close to second half of the year very positive and most importantly the improvement of 118,000. And at the same time in the fourth quarter, we saw an improvement on the business NAS losses and a better quarter in our overall BBM business unit. Turning to media. Our media group continued to maintain its strong audience levels in the important Q4 fall season. 14 of the top 20 viewed shows in Canada were actually on CTV including the top four. We’re also particularly proud of TSN and RDS who maintained their number one position in specialty TV in the fourth quarter in a quarter where our competitor had access as people know to significant hockey programming. So we think that the launch of our five feeds and the other products we’ve added to the portfolio put us in a good competitive position in the marketplace. I mentioned the launch of CraveTV that just hit the market on December 11. That’s an enormous collection of premium content with over 350 unique titles following an authenticated model and we expect to add other distributors over time. And also with our recent announcement of the SHOWTIME licensing agreement with nearly 600 new programs to launch. A fair amount of that content or a significant amount can be added to the Crave portfolio to make that product even more competitive. We’ll talk about 2015, but on the media side, our target there really to be is to try to maintain stable cash flow contribution. We’re making the right strategic investments in sports content and the right strategic investment in Crave that will have some impact on our media business in 2015, but ultimately that revenue flow will come from the strategic decisions and it’s the right positioning for the company as we go forward on this asset. Turning to just a quick summary, you can see that our mix continues to improve, $188 million improvement year-over-year on our growth services. And now this year combining Bell Aliant and wireline business with Bell, we expect through the synergies that we’re seeing that we’ll have a wireline margin close to or approximately 40% in 2015. Also noteworthy that it will be the first year that wireline EBITDA minus CapEx, we’ll see positive growth in a number of years. And if you step back and look at our margin and our capital intensity, our simple free cash flow margin of somewhat 16% to 18% in wireline we believe would be best of any major North American telco. Finally, before I turn it over to Siim, very pleased for the eight year in a row to continue to execute our dividend growth model with an announced dividend this morning, increase of 5.3% on the back of our strong 2014 results and are confidence going into 2015. Again, to me a particular note on the dividend is that again we’ve maintained our free cash flow payout ratio between 65% to 75% for the eight consecutive year and of course our goal would be to continue to stay within that range, and as we grow the company try to stay in the midpoint of that range. With that, let me turn it over to Siim. Thank you.
Siim Vanaselja: Thanks, George, and good morning to everyone on the call. I’ll begin on Slide 11. As George said, our fourth quarter results highlight continued strong performance in our wireless segment and good positive growth in our wireline segment to complete another solid year that met all our guidance targets. Total revenue was up 2.6% in the fourth quarter for Bell while revenue from our growth services increased 3.9% year-over-year, and this reflected strong wireless revenue growth and importantly, as George said, our first quarter of positive overall wireline revenue growth since the second quarter of 2010. Product revenues were up 6.8% year-over-year as we upgraded more wireless customers and saw higher business data equipment sales in the quarter. Bell’s adjusted EBITDA grew 2.2% in the fourth quarter with our wireless segment again delivering another quarter of double-digit growth and the wireline segment growing adjusted EBITDA by 2%. Adjusted EPS increased $0.02 or 2.9% over the fourth quarter of last year to $0.72 per share and I’d note that there were no tax provision adjustments this quarter. Adjusted EPS growth in the quarter was constrained by an impairment charge that we took of approximately $100 million to reflect the decline in the estimated fair value of Bell Media’s conventional TV properties and that’s due to a weaker advertising market, higher regulatory burden and shifting viewership. This impairment charge was offset by mark-to-market gains that we realized on our equity derivatives and U.S. dollar hedge contracts totaling about the same amount as that impairment charge for the quarter. CapEx was in line with plan and directed at our significant broadband infrastructure projects. Free cash flow for the quarter, as you’ve heard, was very strong with a 23.6% increase growing to $833 million. The privatization of Bell Aliant that was completed on November 1 – I’ll just go through the free cash flow impact of that, because the privatization was completed on the 1st of November, our free cash flow in the fourth quarter included two months contribution from Bell Aliant, which totaled a bit over $100 million and that would compare it to a regular – or the regular $48 million Bell Aliant quarterly cash dividend that we would otherwise have received in the absence of the privatization. Turning to the financial results for our wireless segment on Slide 12. Service revenue growth continued to accelerate in the quarter increasing to 8.1%. Our postpaid mix has now increased to 88% of our subscriber base. Mobile data services continued to increase enabled by faster speed and the reliability of our leading LTE network. Data revenue growth was 26% in the quarter, increased data usage, higher rate plans and price discipline drove the 5.5% increase in ARPU and that represents our 20th consecutive quarter of year-over-year ARPU growth. Wireless adjusted EBITDA was another key highlight in the quarter growing 10.6% year-over-year and I think that’s a great result particularly in the context of spending approximately $40 million in incremental year-over-year subscriber acquisition and retention spending in the quarter. Our strong fourth quarter performance brought Bell’s wireless adjusted EBITDA growth for the 2014 year to 9.6% with service margin expansion of 1.3 points to 44.9%. Wireless adjusted EBITDA less CapEx provided a strong contribution to BCE’s free cash flow both in the quarter and for the full year delivering year-over-year growth of 23.4% and 11.3%, respectively, for the quarter and the year. Overall, an excellent set of wireless financial results that we expect led the industry. Looking at the financials for Bell wireline on Slide 14, we’ve seen steady revenue improvement throughout the course of 2014 with positive growth now of 1% achieved in the fourth quarter. This is the first quarter since cable telephony was launched that we achieved both total wireline revenue growth, positive adjusted EBITDA growth and overall positive residential net RGUs. TV and Internet growth contributed 5.1% higher revenue year-over-year supporting wireline data revenue growth of 4% in the quarter. Voice erosion also slowed markedly to 3.3% on fewer residential NAS line losses over last year and higher sales of international long distance minutes. In business markets, IP connectivity in business service solutions grew by 2% and 10%, respectively, and we also saw a bit of a resurgence in data equipment sales, which have been quite variable over the past number of quarters. With an increased mix of wireline growth services and improved business market results, wireline EBITDA grew 2% which is our second consecutive quarter of positive growth while we continue to maintain our industry-leading wireline margins stable on a year-over-year basis. Moving to Slide 14. Bell Media’s results this quarter were consistent with recent industry trends. Bell Media revenues were down 3.9%. You may recall, however, in the fourth quarter of 2013, we did recognize 20 million in retroactive broadcast distribution fees and retransmission royalties. So normalizing for that revenue, Media’s year-over-year revenue decline in the quarter would be 1.5%. Advertising revenues in the quarter, in fact, were up a touch increasing 0.4% over last year and we had strength in programming from our specialty sports networks, TSN and RDS including the recent airing of the World Junior Hockey Championships and we also saw good growth in audience levels for Bell Media’s news specialty channels. Subscriber revenues, however, declined 12% due to the one-time items in the fourth quarter that I mentioned as well as fewer NHL game broadcasts and the closing of Viewers Choice at the end of September. We do expect that over the course of 2015, growth in subscribers from our new CraveTV streaming service together with specialty TV rate increases will offset some of the revenue pressure that we’re currently seeing in Media. In the fourth quarter, Media adjusted EBITDA decreased 16.5%. And gain before that $20 million in nonrecurring revenues in the fourth quarter of 2013 that I referenced, Bell Media adjusted EBITDA was down 8.6% year-over-year reflecting the higher cost of sports rights and the start-up of CraveTV. 2014 I’d say was altogether a successful year for Bell as you see summarized on Slide 15. Revenue adjusted EBITDA growth of 3.5% and 3.7% were comfortably in line with our guidance targets. We finished the year with 6.4% higher adjusted EPS of $3.18 per share and a 6.7% increase in free cash flow, which grew to over $2.7 billion. As George commented, both those results came in towards the high end of our guidance. With strong operating cash generation, we did have the headroom to move up our capital intensity increasing investment on our major strategic network priorities. The operational progress and momentum that we delivered in 2014 I think position us well as we head into 2015. But before I turn to our guidance for 2015, I’d like to quickly review the financial elements of the GLENTEL transaction with you given that that transaction is a material one for our reporting and disclosure purposes. BCE’s agreement to acquire 100% of GLENTEL’s public equity and our agreement to subsequently sell 50% of GLENTEL to Rogers, our separate and independent transactions. The acquisition of GLENTEL by BCE for $594 million has now received all required regulatory approvals other than the Competition Bureau approval in Canada, which we anticipate a decision on in the second quarter. The agreed consideration for that acquisition, as you’ll recall, is 50% in cash in the amount of $297 million and then 50% by the issuance of 5.6 million BCE common shares. That’s the GLENTEL transaction. The Rogers transaction is subject to a separate approval of the Competition Bureau, which we expect to be rendered in the second quarter as well. Rogers has agreed to pay BCE consideration of $392 million in cash at closing. So, consequently, after BCE funds the $297 million cash portion of consideration on the GLENTEL transaction, BCE’s net cash position will in fact improve by $95 million, so our liquidity and financial position will be strengthened as a result. On closing of the Rogers’ transaction, we will be reporting a gain on the 50% divestiture in our statutory earnings. Now from a value perspective, BCE’s net effective cost of acquiring our 50% interest in GLENTEL will be $202 million as you see on Slide 16 or the equivalent of $18 per GLENTEL share. We think that’s really great value for securing this distribution channel, particularly as we head into a period of increased volumes of wireless subscriber contract expirations. Lastly, GLENTEL will continue to be operated as an independent distributor with independent management. So let me now turn to our financial guidance targets for 2015 starting on Slide 18. I believe the guidance we’re providing is evidence of the good progress operationally and the significant broadband wireless and wireline infrastructure investments that we have made in the last several years. All of our guidance targets are for the consolidated BCE entity reflecting the privatization of Bell Aliant and its integration within our wireline and wireless segments. As I’ve already mentioned, BCE acquisition of the 50% stake in GLENTEL is anticipated to close in the spring, that investment I should say will be accounted for using the equity method of accounting, so as a result, there will be no impact to consolidated revenue or adjusted EBITDA. Our proportionate 50% share of GLENTEL’s earnings will be reported below EBITDA in other income on the P&L and I’ll also say that we expect GLENTEL’s earnings contribution to be relatively insignificant given its small scale. Slide 19 provides some perspectives on our revenue and EBITDA outlook. We expect continued strong wireless growth and steadily improving wireline financial performance, so we’re targeting consolidated BCE revenue growth of 1% to 3% and consolidated EBITDA growth of 2% to 4% for 2015. Wireless revenue growth is expected to benefit from the flow through of higher year-over-year ARPU driven by a higher base of smartphone users, increased data consumption on LTE and continued growth in our postpaid subscriber base. We do anticipate a higher number of wireless subscriber renewals in 2015, due to the concurrent in-year expiry of two and three-year service contracts with the so called double cohort effect resulting from the new Wireless Code. That should result in higher year-over-year retention and subscriber acquisition spending, which may slightly tamper the overall rate of wireless EBITDA growth and service margin expansion. For the wireline segment, here we expect positive full year revenue and adjusted EBITDA growth, which is dependent on continued year-over-year improvement in residential wireline RGU net additions that we anticipate through growth in our IPTV footprint driving greater three-product household penetration, higher broadband and TV market share and fewer residential NAS customer losses. Residential wireline revenues in 2015 will also benefit from price increases put through last June in Ontario and last September in the Quebec market, as well as a higher volume of customers coming off promotions. In our business markets unit, we will look to leverage our expanded fiber footprint to grow broadband connectivity in business data services to target an improved year-over-year rate of decline in that unit’s revenue and EBITDA results. Cost reduction will also help offset the ongoing decline in wireline voice revenues as well as some of the competitive re-priced pressures in our business and wholesale markets. Ongoing service level improvements and the realization of operating synergies from the integration of Bell Aliant we believe will help enable us to hold margins relatively stable in 2015. For media, we believe that the fourth quarter in fact represented a peak year-over-year rate of decline for EBITDA and margin. So in 2015, financials should improve but will continue to be impacted by higher cost related to sports broadcast rights, content investment that we’re making in CraveTV and higher regulatory Canadian content spending. I’ll turn to pensions now on Slide 20. The funded status of BCE’s defined benefit pension plans remains strong even as interest rates have continued to drop. The decrease in government bond yield, solvency discount rates – with a decrease in bond yields, solvency discount rates declined last year increasing the solvency deficit of our defined benefit plans. However, we did make $350 million special contribution in December last year mainly to improve the funded status of Bell Aliant's defined benefit plan and better align them with the strong solvency position of the Bell Canada plans. So we now are maintaining a solvency ratio above 90% for both Bell plans and Bell Aliant plans. We believe that was an efficient use of cash given the sustained low interest rates that we’re seeing. For 2015 on the funding side, we think total regular cash pension funding for BCE is projected to remain stable at around $400 million. On pension expense, at the adjusted EBITDA level, we will see a slight year-over-year improvement due to the positive impact from the special contribution that we made. In contrast, below adjusted EBITDA, net pension financing cost will increase modestly and that’s as a result of the lower accounting discount rates for 2015, which we’re setting at 4%. As a result, BCE’s total consolidated pension expense should remain relatively unchanged year-over-year. Moving to our tax outlook, our effective accounting tax rate for 2015 is projected to be similar to the rate in 2014 of approximately 26% and that’s in line with the statutory tax rate as well. As you can see from the chart at the top of the page, tax adjustments have really become an insignificant component of adjusted EPS compared to prior years. In 2014, we benefited from favorable tax resolution adjustments of $0.05 per share. For this year, tax recoveries are projected to total not more than $0.02 per share. We have a stable year-over-year outlook on cash taxes, which are projected to remain at around the $750 million level for 2015 and that would include Bell Aliant cash taxes. I’d add that with our tax loss carry-forwards and pool of investment tax credits largely utilized now, cash income taxes that you’re seeing really now reflect the normalized annual run rate level. Slide 22 summarizes our adjusted EPS outlook for 2015, which we project to be between $3.28 and $3.38 per share or growth of 3% to 6%. EPS is supported by a strong underlying contribution from operations driven by higher EBITDA from our growth services as well as lower depreciation and amortization expense and that’s because of the accelerated depreciation that we took in 2014 on our CDMA network assets that are being decommissioned as well as from an increase in the useful life of some application software. In 2015, we expect also higher net interest expense, which results from the higher level of debt on the Bell Aliant transaction. That should have a year-over-year impact of about $40 million. And lastly, given the Canadian dollar devaluation, I would mention that our U.S. dollar denominated OpEx spending for 2015 has been fully hedged. Most of our U.S. dollar CapEx spending has also been hedged, so we really have effectively insulated our P&L and free cash flow exposure on our U.S. dollar purchases in 2015. As we can see on Slide 23, our capital structure remains very well aligned with our investment grade ratings providing us with a high level of financial flexibility. Our debt leverage ratio should improve over time with growth in EBITDA and free cash flow generation as well as deleveraging from the surplus cash flow that we generate. Our balance sheet is positioned with an attractive long-term debt maturity schedule. As we see, we have an average term of approximately nine years and really minimal near to medium-term debt repayments. The average coupon on our debt has decreased to 4.69% or about 3.4% after tax and I think that’s the lowest among our peers. Finally, our liquidity position remains strong. We have committed credit facilities totaling $2.5 billion with a remaining five-year term on them, unused capacity under our three-year accounts receivable securitization program and we had a good cash balance as we enter 2015 of over $500 million. On Slide 24, our 2015 capital program, we’ll continue to focus on investment in broadband, wireless and wireline networks including capacity enhancements to support accelerating growth and data usage. Wireless investment will center on delivering LTE services to all Canadians by the end of the year and on spectrum aggregation across frequency bands, which will enable higher speeds and bandwidth in particularly urban areas. In wireline, we anticipate high levels of spending to continue in 2015 primarily for the ongoing expansion of our fiber and IPTV footprint with an emphasis on FTTH deployment. So virtually all of our future network fiber investment will be by fiber-to-the-home. We expect an overall capital intensity for BCE of about 17% of total service revenues exclusive of any investment we may incur this year for the purchase of wireless spectrum. Lastly, on Slide 25, our free cash flow generation for 2015 before BCE common share dividends should be strong growing in the range of 8% to 15% year-over-year to $2.95 billion to $3.15 billion. That will be driven by growth in adjusted EBITDA maintaining our 17% capital intensity ratio and a modest improvement in our working capital position. Our 2015 free cash flow generation provides us a good foundation for the $0.13 per share increase in BCE’s common dividend, which maintains our free cash flow dividend payout ratio very comfortably within our 65% to 75% target range. And BCE should generate over $900 million of cash after common share dividends in 2015. So that’s pretty much it. Slides 26, 27 and 28 are for your reference. I’ll conclude by saying that BCE’s fundamentals are strong as evidenced by our 2014 operational and financial results and in 2015, we expect to build on that progress. Overall, our guidance reflects the confidence that we have in our business for this year with EPS and free cash flow providing a strong foundation for continued steady and reliable growth in our common share dividend for our shareholders. With that, I’ll turn the call back to Thane and the operator and we can move to the Q&A session.
Thane Fotopoulos: Great. Thanks, Siim. Before we begin taking questions with the short amount of time we do have available given the volume of material we went through in our prepared remarks, please keep your questions brief and to the point so we can get to as many of you in the queue as possible. So with that, Paul, we’re ready to take our first question.
Operator: Thank you very much. [Operator Instructions]. The first question is from Richard Choe from JPMorgan. Please go ahead.
Richard Choe: Great. Thank you. Given the strong postpaid wireless results from this quarter and Rogers being negative, did you see any change at the end of the quarter and beginning of the year and how should we think about the competitive level throughout the year on postpaid wireless?
George Cope: From our perspective, it was as competitive a fourth quarter as we normally would see and in fact probably – from the fact we had brand new smartphones released into the fourth quarter, there was obviously a lot of transaction in the industry. We don’t expect to be any less intense from a competitive perspective and we clearly know we are attracting the right type of clients and I think the best testament to that is the ARPU growth we’re seeing across the base. So it’s a very profitable subscriber base obviously that we’re adding because of the users that we’re seeing. So we didn’t see any declining competitive intensity nor do we anticipate it. If anything, every year I’ve been in the industry it just gets more competitive.
Richard Choe: Okay. Thank you.
Operator: Thank you. The next question is from Phillip Huang from Barclays. Please go ahead.
Phillip Huang: Yes. Thanks. Good morning. Congrats on the solid results. A question on Bell Aliant. So when the privatization was announced, you estimated roughly $100 million in synergies. Could you give us an update on the progress on integrating Bell Aliant and the timing of the flow through of cost savings through the year, and whether we could see some upsides to the original $100 million synergies target? Just trying to assess that with the greater scale of the wireline business whether we could actually see some margin expansion into 2015?
George Cope: Well, we might see a slight margin expansion if you look at our Bell wireline business now rolling Bell Aliant in, you might see just a tick-up of anything stable. So that may happen. On the $100 million we said, it’s on OpEx and a CapEx synergy number combined and we continue to see that. That will be fully executed this year and so we should hit those numbers. In terms of taking those numbers up, now I would say our guidance reflects our best estimates of the type of impacts we’re going to see. The synergies are happening as we expected and I would also say the operating performance of that region has been excellent from a subscriber standpoint and we’re going to, I think we’re going to continue to see that fiber investment be monetized very well for us.
Phillip Huang: Just as a quick follow up, have you seen --?
George Cope: No, go ahead.
Phillip Huang: I wanted to ask have you seen any sort of pullback from Rogers on their historical aggressive pricing promotions in Atlantic Canada now that sort of BCE is running part of the region too?
George Cope: You mean in particular in Aliant territory, no.
Phillip Huang: Right.
George Cope: No, we’re not seeing any change in that.
Phillip Huang: Okay. And then finally just a quick follow up on the fiber footprint expansion into 2015. Entering into this year, what percentage of your footprint are now capable of 50 megabits per second plus including Bell Aliant?
George Cope: You know what, I don’t have that top of head. We’ll get back to you. We mentioned 2.1 million of our homes are fiber-to-the-home. The 6 million are fiber-to-the-node. That’s almost every one of our 6 million of course are 25 meg or higher, can’t give the 50 top of head.
Siim Vanaselja: It will be at least 40% if not more, but I’ll get back to you on that.
George Cope: We’ll get back to you on that.
Phillip Huang: Great.
George Cope: And then going forward, the investment as we say will be fiber-to-the-home on literally every dollar we put in the ground now and to business.
Phillip Huang: Got it. Thank you very much.
Operator: Thank you. The next question is from Greg MacDonald from Macquarie. Please go ahead.
Greg MacDonald: Thanks. Good morning, guys. Looking at the ARPU number 5%, it’s a good number. I wondered, George, if you might comment on a couple of things. Number one, the profile on the ARPU, is it more skewed consumer versus business? And commenting on the West, I know you guys have focused on the West for competitive reasons in the past. What are your thoughts on the risk given what’s happened with the oil price there? And then on sustainability, you mentioned usage. I guess it ties a little bit into the first part of the question on exposure to the West. I guess the question I’d ask is this way. Is it possible that you could see a similar ARPU growth in 2015 that you saw in 2014 based on your outlook for usage?
George Cope: Just generally, I’m not going to unfortunately give an ARPU forecast for the year because it’s in our guidance, but clearly what is driving the average ARPU, one is the eight year pricing discipline in the organization in the marketplace that we’ve executed on. But I think importantly just our customers using the devices more and more because of the broadband capabilities of LTE. Geographically, yes, where we are impacted obviously the most would be in Quebec because we got Rogers, TELUS and Videotron there and in Western Canada where we started in the years later that is an opportunity for us in growth and we mentioned that I think in the quarter that was a little stronger. That’s really how it’s played out. ARPU, we would anticipate it, we’ll improve in 2015. Again, that is in essence build into our business plan. In terms of the numbers, it’s hard to – one I wouldn’t give a number to, it’s a tough one to put an exact number on. And finally I think it’s fair to say those type of revenue numbers we saw in the fourth quarter, it’s been years to see that type of top line revenue growth in the industry, so it was an exceptional quarter.
Siim Vanaselja: Greg, I would just add that our exposure to the resource sector is relatively small across wireless and the business market sector and that’s reflected in the guidance targets that we’ve provided as well.
Greg MacDonald: Thanks. That’s what I was going to ask.
Operator: Thank you. The next question is from Jeff Fan from Scotiabank. Please go ahead.
Jeffrey Fan: Good morning and good quarter. I wanted to expand the question on business and enterprise a little bit, notwithstanding the comments that you just gave regarding the West exposure or energy exposure but just in terms of what’s been going on in 2014 with respect to the business wireline and enterprise performance, it sounds like what we’re hearing is that the trends are getting better. Just trying to understand what is happening there, what’s driving that and what your assumption is for 2015 in terms of revenue and also EBITDA trends?
George Cope: Thanks for the question. Look, we have really within BBM our business wireline side I think you’re asking the question, we really have three segments there. In the small business market, I think we’re executing better the benefit of some of our product portfolios and so we’ve seen some improvement in our execution and in our service levels, we think that’s helping us there. So we saw an improvement year-over-year and we think we’ll see that again. In the midmarket, it’s probably the one place we’re seeing growth and we think we’re taking share and it’s not the largest of the three segments but it’s helping us. And on the enterprise side, it’s intensively competitive with migrations. Overall, numbers were better in the fourth quarter. Our business plan is that they will improve again but it seems that there will still be a modest decline there, it will just be less than the year before. And overall, the fundamental issue is job growth. We are so large in the BBM side that until we see accelerated job growth, maybe we see that in our core central Canada markets with the lower dollar and to other experts other than me on that topic, but if we see it, it would clearly be a benefactor for that on the BBM side. At the end of the day, we’re so deep into the economy that job growth I think is the fundamental importance to us growing the BBM business market.
Jeffrey Fan: Okay. Thanks.
Operator: Thank you. The next question is from Dvai Ghose from Canaccord Genuity. Please go ahead.
Dvai Ghose: Thanks very much. George, congratulations on the exceptionally strong wireless and wireline subscriber figures. I mean they clearly challenge the view that wireless is mature and that telcos can’t compete with cable cos. But my questions, number one, given that Rogers clearly lost massive wireline and wireless share to you in 2014, do you think that they can maintain the price discipline that they speak of? And number two, given how well you’re doing with fiber-to-the-node, how urgent is the need to build fiber-to-the-home incrementally?
George Cope: I appreciate the comments, Dvai. Our issue from a competitive perspective is in fact it’s linked to your last part for us investing in the broadband, LTE and the services so that we’re actually winning on a product portfolio basis. And then on pricing on par with our competitors that customers, because of our distribution, our services and products, will choose us. That’s the competitive approach we have. And how are competitors’ respond to that, they’ll have to decide how they deal with that. But clearly our portfolio is the strongest we’ve had in years. And then on fiber, it’s really – Dvai, what we see is in the markets where we have fiber-to-the-home, churn is better, the ARPU is even better, the usage is higher and so we think as you look out and as we look out, overlaying fiber over a disciplined capital program is absolutely the way to go, particularly leveraging areas where we have high aerial portfolios and leveraging other people who have access to aerial and every market we can. So we think as we look out three, four, five, six years, the right strategy going forward is just to continue to all new footprint be fiber, which has been for a number of years and begin the overlay on an economic model basis, the fiber-to-the-node markets particularly those that are aerial.
Dvai Ghose: Fantastic. Thanks.
Operator: Thank you. The next question is from Glen Campbell from Bank of America. Please go ahead.
Glen Campbell: Yes. Thanks very much. George, first, just to clarify. You got a very high class problem with the market share gains in both wireless and wireline. There’s a tradeoff between, say, stability in the market and continuing those gains. It feels like you’re right on the edge of that balance. I mean would you agree and is there a case at some point for easing up a little bit to preserve market stability?
George Cope: I think the answer to that is from our perspective, our financial results to us and hopefully to all of our shareholders would show that the pricing discipline in the company is clearly there and how we’re executing. And as our customers using our services and migrating to the services because we believe the consumers end business are making the choice to move their services to our company and we believe our eight year journey on improving our service agenda is now paying dividends. So, from that perspective that’s how we got to execute. We haven’t seen other competitors report yet their results as well. Clearly, our strategic goal on wireless to be a third of postpaid or better is where we think is a goal that we’ve had that changes quarter-to-quarter. But, I think really for us is we’ve just got to execute on the services and watch we’re not pulling share through an undisciplined approach to the market and I think our financials are supporting that and hopefully our shareholders see that today.
Glen Campbell: Okay. Thanks. And just a quick follow up. I didn’t see specific targets for TV homes for 2015. I might have missed them. If so, can you tell us what they are?
Siim Vanaselja: No, you didn’t miss them and I’m not telling you. From this point on, Glen, our own view is all we’re now doing is telling our competitors what our next footprint is because they can map it out. What investors should know is our capital intensity is to expand IPTV footprint and begin overlaying fiber. But we think we’ve given enough critical mass out that investors know we’re serious about covering the footprint at a reasonable pace. But we really don’t want our competitors knowing what areas are coming first or next, because then they get ready for it and that’s really why we decided that we wouldn’t give it out and hopefully the CapEx guidance is enough for our investors.
Glen Campbell: Okay. Thanks. Great quarter.
George Cope: Thank you.
Operator: Thank you. The next question is from Maher Yaghi from Desjardins Capital. Please go ahead.
Maher Yaghi: Good morning. Thank you for taking my question and congratulation on the numbers. I wanted to ask you a question regarding your financial position going into upcoming spectrum auction. Now you’re sitting at 2.6 times debt to EBITDA above your target limit. When you look at your cash needs going into 2015 and specifically the spectrum auction, we’ve seen in the U.S. some pressure on some debt downgrades as these spectrum auctions are starting to cost higher than people are expecting. How do you view your financial position and how do you position yourself and how committed are you to your current debt standing?
Siim Vanaselja: Thanks, Maher. I can answer that question. We think we’re obviously very well positioned. We’ve got significant liquidity. As I said in my comments, we will generate over $900 million of discretionary free cash flow post common dividends and we’ve got headroom within our ratings category with the rating agencies as well. So, we’ll see how those auctions unfold. But financial capacity is not an issue for us and I suspect it’s not an issue for our competitors as well.
George Cope: We remain committed – just to add to Siim, we clearly remain committed to the net EBITDA ultimate where we want to get to and it seems that $900 million free cash flow with EBITDA growth this year I think gives us that support. And then beyond that, I probably don’t want to make anymore comments on an auction now that we’re getting into that window.
Maher Yaghi: And in terms of your wireline growth expectations on EBITDA for 2015, how do you see it stacking up first half versus second half? Do you see first half comps easier than the second half?
Siim Vanaselja: You know what, actually no. It seems to be – it’s quite frankly because of the growth we see. There is a real seasonality we’re continuing to see on the wireline side and of course all the analysts on the call know that. So we will be positive for the year but I think it rolls forward, probably gets more positive throughout the year as I think about our business plan profile.
George Cope: But these are small positive numbers all the way across the board. As you know, we’re on the right side of that ledger for the first time in years.
Maher Yaghi: Great. Thank you very much.
Operator: Thank you. The next question is from Batya Levi from UBS. Please go ahead.
Unidentified Analyst: This is Chris Scholl [ph] for Batya. With the double cohort coming in 2015, can you help us frame your exposure over the percentage of your base that is still on three-year contracts? And have you taken any steps to date that will help smooth the impact as we move into next year? Thanks.
George Cope: Yes, we’ve taken steps that we’re not going to disclose our base because we think it’s too much competitive intelligence in the marketplace. But yes, we’ve taken steps for sure in the marketplace. We mentioned in the fourth quarter we accelerated because of the headroom we had on the retention spend, Siim talked to that, to try to get at some of those customers we know that will be coming due. We’ll be doing things in the marketplace to manage our customer base through that period. Also, I think we have some great electronic handsets now in the marketplace and so we’re able to absorb that with the ARPU growth that we’ve got. Those are things we’re doing getting ready. Beyond that, the rest gets into competitive intelligence and I don’t want to go there other than to say that our business plan and I apologize to do this, but our guidance reflects our view of how that will be executed in total. And we think we’ve left ourselves the appropriate room for how customers behave to upgrade during that period. We’re definitely though – the last thing I would say is there’s definitely a pace of upgrade because the smartphones themselves by definition look a lot like the smartphone of two years ago. It’s not as rampant as we’ve seen four or five years ago in terms of everyone migrating overnight. So hopefully that will help a little bit as well to smooth that curve out a little bit.
Unidentified Analyst: Great. Thank you.
George Cope: Thanks for the question. It’s a tricky one.
Operator: Thank you. The next question is from Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Thanks very much and just echo congrats on the quarter and a great year. Two questions, George, for me a little bit bigger picture. Just focusing on the Bell wireline outlook, obviously great to see the improving revenue trajectory. Are you getting close to kind of seeing some natural positive operating leverage in that wireline business or are you still have to really address the cost structure like you have in the past to get that EBITDA growth? And second question just on the business market, just wondering probably most appropriate in the enterprise segment, do you see demand for both connectivity and data hosting on a bundled basis from some of your customers? I’m just trying to better understand where a telecom operator may have that competitive advantage in data hosting that segment that’s obviously getting crowded? Thank you.
George Cope: Yes, so let me deal with the second one first. Our investment in Q9 and packaging that with some of our Bell products we think is important. We see a connection to that hosting of about 30% to 35% of connectivity revenue flows through when we are able to enter into those relationships with our customers on either cloud or hosting. So that’s why we made the investment in Q9 and our own data centers in the Bell Aliant data centers, and it is an area with top line revenue growth. It’s – long term we think going to provide, but ultimately it’s not a huge number relative to our scale and that is the challenge. But on the strategic side, it’s absolutely a pull through, so we’ve got to be in that space. And then the first question was around --
Drew McReynolds: Wireline outlook and leverage between growth and cost?
George Cope: Yes, I think it’s fair to say that the Bell Aliant, Bell Canada merger, I think that is a reflection of our view of opportunities to make sure we don’t have duplications of cost in the competitive business we’re in. So it would be fair to say we continue as one of our strategic imperatives to have to drive an efficient cost structure and that is an essence in part of those synergies for 2015. It is interesting though, you do make the point, in some of our areas where we’re starting to see top line growth, of course we’ve got to make some of the investments to grow the business where we’re seeing that growth particularly on the residential side and we are doing that now in a tepid way in some parts of the group. But overall, we still have to have our cost structure down year-over-year and that happens as a result of the integration of the two wireline companies into one.
Drew McReynolds: Thanks very much.
Operator: Thank you. The next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Thanks very much. First, you just mentioned Q9, can you update us on the timing of the second tranche of that transaction? And more importantly, last quarter you gave some very interesting stats on LTE usage and ARPU. You gave us the 47% penetration figure, but do you have any of those stats this quarter on how much more LTE customers are using their phones and how much more ARPU they’re generating versus HSPA customers? Thanks.
George Cope: Yes, if we can pull it out we’ll give it to you. There is no – let me just see if I can get it in front of you.
Siim Vanaselja: While you’re looking, I can address the first part of the question on Q9. Vince, when you say second tranche, I assume you’re referencing our right to acquire the stake of Q9 that’s held by private equity partners. That call option becomes exercisable I believe in the next four years but it could stretch out as far as six years depending on the circumstances, so it’s still a number of years away.
George Cope: Okay. And then just in terms of the usage stats, we’re probably seeing close – you go somewhere around 800 megabits on the HSPA to north of 1314 on the LTE, so there’s the usage difference we’re seeing on the customer base. It would appear it’s about 50% more data usage and the average customer who migrates to that of course is generating for us more revenue for them. They’re clearly using the product much, much more for the video services. So, the numbers are pretty consistent quite frankly with last quarter. And as I said for us, we think the products improve so much with LTE, customers will keep migrating and that lends itself for us to make the investments we need because we think we’ll see continued top line revenue growth.
Vince Valentini: Thank you.
Thane Fotopoulos: Thank you. Paul, given the time, this will be our last question.
Operator: Thank you. So the last question will be from Tim Casey from BMO. Please go ahead.
Tim Casey: Thanks. George, following up on the last question, can you talk a little bit about your plans to manage spectrum exhaust. I know you can’t talk about the upcoming auctions but it’s relatively transparent on what you can or can’t bid for there. So, given the huge increases in usage and it sounds like it’s only going to continue, can you update us on how much of the 700 you’ve deployed and how you plan to manage that, the spectrum issue in conjunction with your network share with TELUS?
George Cope: First of all, as investors, we’re very comfortable with the spectrum position we have in the marketplace. A fair amount of our 700 has been deployed rural first of all sort of in the middle of doing that. Ultimately, we will also have the ability – we have a very deep portfolio of 2.5 spectrum as many of our investors probably know and the ability to do some aggregation with that 2.5 going forward. And of course, some of our aggregation of spectrum to provide customers access to higher speeds is a result of the network share, remember we have with one of our competitors. So, we feel quite positive about our spectrum position. We’re absolutely convinced that our ability to pair the 700 we got with other spectrum bands puts us on par with any of our competitors who may have bought two bands next to each other in the last auction. So we’re very comfortable with that position. Having said that, it’s an auction and it is core to what we do, so we will be participating in this upcoming auction to make sure we’re positioned for the long term. Sorry to be so nondescript on it, but frankly we’re just really comfortable with the position we have and that’s I think what’s most important to investors.
Thane Fotopoulos: Okay. So, once again, thank you all for your participation today and I will be available throughout the day for any follow-up questions or clarifications. Have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.